Operator: Good day and thank you for standing by. Welcome to the Aterian. Inc. Fourth Quarter and Full Year 2021 Earnings Report Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference may be recorded. [Operator Instructions] I would now like to hand the conference over to your host today, Ilya Grozovsky. Your line is open – please go ahead.
Ilya Grozovsky: Thank you for joining us today to discuss Aterian’s fourth quarter and full year 2021 earnings results. On today’s call are; Yaniv Sarig, Co-Founder and CEO; and Arturo Rodriguez, our Chief Financial Officer. A copy of today’s press release is available on the Investor Relations section of Aterian’s website at aterian.io. I would like to remind you that certain statements we will make in this presentation are forward-looking statements. And these forward-looking statements reflect Aterian’s judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting Aterian’s business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our fourth quarter earnings release, as well as our filings with the SEC. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, the company may refer to non-GAAP metrics on this call. Explanation of these metrics can be found in the earnings release filed earlier today. With that, I will turn the call over to Yaniv.
Yaniv Sarig: Thank you, Ilya and thank you everyone for joining us today. I want to start by taking a minute to express Aterian’s condemnation toward the unjustified violence and bloodshed in Ukraine. Our international team includes four employees based in Ukraine currently. [Sonata Lee, DeRoss, Vislon and MacKeen] [ph], our hearts are with you and your families during the difficult times and Aterian will continue to offer any support we can provide to help. The company and many employees, including myself have made modest donations to humanitarian efforts on the ground. On the call today, I’d like to go over the following topics. I’ll start with a quick intro to Aterian for those who are newer to the story. I will then review key takeaways from Q4. I’ll go over some of the temporary challenges we’re facing due to macro level events and I’ll summarize the long-term prospects for Aterian. So those who are newer to the story, here’s what you need to know about our company. Aterian is part of a new breed of technology-enabled consumer product companies. We focus on building, acquiring and partnering with e-commerce brands online. Aterian own and operates 14 consumer brands, selling products across various categories on channels such as Amazon, Walmart, Shopify, eBay and more. To allow us to scale, we’ve invested in building our own proprietary software platform called AIMEE. AIMEE enables our team to manage our business more efficiently by injecting technology into processes that would otherwise have to be executed manually, and would require hiring an unscalable and sustainable workforce. Through its ability to analyze vast amounts of data and automate daily recurring tasks, AIMEE allows our team to find new product opportunities we can launch onto our brands, manage those products at scale effectively across various channels, and automate and marketing and fulfillment tasks, and much more. Our goal in the long-term, is to become one of the most efficient consumer product companies in the world, expanding our footprint globally, while continuing to invest in technology and agile supply chain to drive scale and profitability. Moving now to our key takeaways from Q4. In the fourth quarter of 2021, our net revenue grew 52.5% to $63.3 million, but our contribution margin declined to 7.9%, mainly due to global supply chain disruption and related inflation. As a reminder, our target contribution margin in normal environment is 16% on average across product categories. Our efforts to reorganize our international shipping strategy and negotiate prefer rates with partners such as Amazon and XPO have shown success. After getting through a few operational issues at surface thoroughly are interacting to the great job at adapting to new paradigms imposed by us by the supply chain pressures. We were able to face several thousands of dollars per container versus average spot rates for that period, and this continued into Q1. However, we’re still on average paying prices that are approximately – 300% higher than our cost of shipping in 2019 for the same period. Regardless our focus is in the long-term here. We’re a long-term believers in this company’s vision. So while our contribution margins remain compressed, we’re laser-focused on retaining market share with the expectation that eventually shipping costs will lead. This efforts continue to succeed across our portfolio and I’m happy to report that on average our most critical SKUs continue to maintain a strong market share position in the categories. Our thesis until a few weeks ago was that international and shipping rates will start declining after Chinese New Year and return over time to a more sustainable cost. The war in Ukraine is putting that thesis in question and several transportation – analysts are predicting that price of shipping might go up in the short-term. While we believe that our logistics partner will still give us preferred rates, spot rates potentially going above $20,000 and other inflationary pressure is not – are not favorable to our business. Given this challenging environment, and to be cautious, we’re not providing guidance at this time. We’re working hard to generate growth organically this year, potentially through M&A and various other initiative – strategic initiatives. Despite the relative uncertainty we’re facing, I want to point out a few decisions that we made correctly in Q4, which could positively impact 2022. Our team had anticipated that around the Western holidays’ period, there will be a window to bring in goods at a slightly lower cost. Given that in 2021, we suffered from several out of stock products due to unreliable containers shipping schedules, we opted this time to bring in as much of a critical inventory for the next two quarters early. If our competitors did not pursue the same strategy, the outcome could be very favorable to us from both our short-term revenue and long-term market share perspective. The decision will be more impactful in our favor if shipping costs increase in the short-term and medium-term, but come down towards the – later part of the year. While we’re grappling with continuous challenges driven by the macro level environment, it’s important to say clearly to those who follow us that we are more optimistic than ever and continuing to pursue our long-term vision. While waiting for the storm to pass is taking longer than expected, we’re convinced that the world will see companies like us thrive in the future. As I mentioned previously, we’re not the only ones believing this outcome, we’re witnessing continue to invest in the private equity through Amazon and Shopify aggregators, looking to compete in the same space. Over $12 billion were invested in 2021 in early stage companies pursuing a similar mission of building the consumer product platform of the future. All of these companies are private, that we’re hearing through the industry that most of them are navigating similar challenges. We believe that we continue to be ahead of the pack in terms of our ability to execute on the model, managing e-commerce brands and marketplace is tedious and requires constant optimization or attention to detail. While Aterian has yet to achieve all our goals in this domain, we intend to remain at the forefront of what technology can do to give us an advantage and remain on top of ever-changing marketplace dynamics. Technology has been a key advantage for us over time as we managed to scale organization, while keeping sustainable fixed costs due to our investment in the systems and automation. During the pandemic, our fulfillment capability powered by AIMEE that allowed us to overcome critical shipping limitations imposed by Amazon and other partners. We also recently raised $27.5 million in equity financing, and we intend to use this capital to drive growth, further invest in infrastructure on the tech and supply chain fronts and re-launch our M&A strategy. However, we tend to be patient in the short-term as we evaluate different opportunities in the context of the macro environment. Our category-agnostic model is going to allow us to look at a wide variety of product categories that are potentially less affected by supply chain pressures. We’re also going to invest in our team and bring in more talented and senior leadership into the organization. We’re currently recruiting across various roles, including a new President role, who will step in to take over for our Chief Revenue Officer, Tomer Pascal. I want to thank Tomer for his leadership in the last four years – four and a half years. We’re grateful for his contribution to Aterian’s success, and we will proudly follow his progress with the new venture that he is sounding. Our 2022 unfolds, we believe that we will be ready for any challenge just like we’ve been in the past. Our company has shown resilience and fortitude and we’ll continue to do so. The immediate world events might bring pause to those considering invest in us, but in the long - for long-term thinkers who believe in the future e-commerce should play close attention to how we execute on our strategy in the coming year. I believe that – if we can protect market share and even grow it, while we navigate through the supply chain inflationary pressures ahead, we can once again become one of the fastest growing profitable consumer product companies in the world. With that, I’ll pass it on to Artie to discuss the quarter and year-end financial results.
Arturo Rodriguez: Thanks, Yaniv and good day everyone. Here are the financial performance details of our fourth quarter. For the fourth quarter of 2021, net revenue increased 52.6% to $63.3 million from $41.5 million in the year ago quarter, primarily from an increase in net revenue from our acquisitions in organic business. The fourth quarter net revenue of $63.3 million is comprised primarily of; $31.3 million of our organic business, which I note, includes revenue from our built brands and acquired brand – brands starting one year after purchase; $27.6 million of our net revenue from our acquisitions and $4.3 million of wholesale. The year ago quarter net revenue of $41.5 million was comprised primarily of $22 million of our organic business, $14.9 million of net revenue from our acquisitions, and $4.4 million of wholesale. As a reminder, the acquisition of Smash closed on December 1st, 2020, and as a result, moved into our organic category starting December 1st, 2021. The year-over-year growth in our organic business of $9.3 million is related to, an increase in our sustained phase products of approximately $5.9 million to $25.8 million from $19.9 million due to the inclusion of Smash products into organic for the month of December offset by increased pricing of our products affected by global supply chain disruptions, which has led to the reduced sales velocity, and an impact of stopping the stimulus support from government and initial impacts from inflation affecting consumers. Our organic business also saw a slight year-over-year increase in launch phase revenue of $0.9 million to $2.6 million. As planned, due to supply chain volatility, we have won zero products this quarter compared to 5 in last year’s quarter. Overall in 2021, we launched 40 products compared to 32 in 2020. Even though the rate of our products launched in 2021 grew, we did not have the same success as previous years as market conditions resulting us and needing to raise pricing due to supply chain disruptions which led to a decrease in demand and performance of certain recently launched products. This has also led to products being longer than the launch phase than originally planned. As mentioned previously, we have and will continue to hold off launching new products until we believe the time is right and the supply chain situations more predictable. Our M&A revenue of $27.6 million increased from $14.9 million in the prior year due to our acquisitions of Healing Solutions, Squatty Potty and Photo Paper Direct. Our M&A revenue is in line with expectations for Smash, Photo Paper Direct and Squatty outside of seasonality and timing of the closing of the acquisitions. As we have previously discussed, Healing Solutions continues to form below expectations largely due to supply chain difficulties from our shift from service manufacturing capabilities to new third-party vendors as previously planned. That said, we are still pleased with Healing Solutions’ acquisition the long-term strength of its brands and products. Finally, on net revenue. We suffered from inventory shorts in the quarter which we estimated to be an impact of approximately $2.1 million in the current period, as compared to inventory shorts of approximately $6 million in the prior year ago period. Overall, gross margin for the fourth quarter increased to 45.6% from 45.2% in the year ago quarter and decreased from 50.2% in Q3 2021. Our gross margin improvement versus last year is predominantly from favorable product mix and the inclusion of our acquired brands. We believe the increased cost of shipping containers impacted our gross margin by approximately 2% in the fourth quarter of 2021. We expect to see a slightly larger impact in Q1 2022 as previously purchased inventory, the higher rates continues to clear out. Our overall Q4 2021 contribution margin as defined in our earnings release was 7.9%, which decreased compared to prior year CM of 11.2%. Q4 2021 saw our sustained products contribution margin increased to 16.1% versus 15.2% in Q4 2020. With CM, our sales and distribution expenses were negatively impacted by global supply chain disruptions which drove higher costs in last mile fulfillment, given inflationary pressures and carrier tightness in the quarter. Our Q4 variable sales and distribution expenses as a percentage of net revenue increase to 40.1% as compared to 35.5% in the year ago quarter. We expect to see these impacts continue in the current quarter. While we’re doing our best to mitigate higher cost dynamics, we believe we’ll continue to see CM pressure for 2022 due largely to supply chain disruptions and increased last mile costs. Adjusted EBITDA as defined in our earnings release for the fourth quarter of 2021 was a loss of $3 million compared to a positive $500,000 in the fourth quarter of 2020. Our $2 million operating loss for the quarter include $7.7 million of stock-based compensation expense, and also includes income net from charges and settlements to contingent earn out of $14.4 million, which is primarily related to decrease of share price at December 31st, 2021 versus September 30th, 2021. Our $5.5 million – excuse me, our $5.3 million net loss for the quarter includes $2.1 million net loss and extinguishment of debt net from payments related to the completion of a $25 million credit facility with our lender. Turning to the balance sheet. At December 31st, 2021, we had cash of approximately $30.3 million compared to $37.5 million at the end of September 30th, 2021. The decrease in cash is predominately driven from previously reported $27.5 million cash payment to our lender, a $4 million M&A related transition service payment from the purchase of Squatty Potty, and our net loss offset by cash proceeds of our new ABL at $34.1 million and changes in our working capital. As we previously disclosed, in order to navigate through the global supply chain disruptions, we increased our inventory on hand and purchased inventory earlier than initially anticipated. This put pressure on a minimum liquidity as we enter 2022 as we prepare for our summer 2022 seasonal products such as ACs and humidifiers. In December, we secured our new $50 million asset-backed credit facility providing us the working capital flexibility and allowing us to complete the repayment of our term loan. Last week, we raised approximately $27.5 million in gross proceeds through a private sale of approximately 6.4 million restricted shares at the end market price, and an additional 3.1 million in pre-funded warrants at the debt market price. We anticipate these shares will be registered early during the second quarter and are locked up until then. Further, in connection with this offering, we also issued 7.1 million of warrants at the strike price of 10% premium at close which may be exercised in the future and upon exercise will add up to an additional $20 million in cash on the balance sheet. Given the current market volatility and with the recent conflict in East Europe, there is continued concern of the unknown in the markets. As such, we seize the opportunity to secure our balance sheet now to allow us to operate our business appropriately, considering the current global supply chain disruption and recent record inflation. Further, this financing allows us to open up the possibility to continue to pursue our accretive M&A strategy. We continue to be impacted by global supply chain disruptions, especially considering the inflationary pressures globally and the uncertainty stemming from the invasion of Ukraine. While we believe these issues are temporary and not permanent, it cause us to have diminished visibility in our ability to forecast the results. And we will not be providing full year guidance at this time. However, as we look at the current Q1 and taking into account the current global environment, rising inflation and continued difficulty with supply chain, including stock outs for several of products in Q1, we believe we will see Q1 2022 net revenue lower than Q1 2021, especially considering the difficult comparisons demand versus prior year. That said, our confidence does continue to grow as we look at our summer season for 2022. We believe our efforts around supply chain and the investments we made to bringing in inventory early will put us in a much better position in 2021 summer season. In closing, 2021 was a challenging year. The global macroeconomic conditions made it difficult to operate and predict our business and changing consumer habits from early pandemic the current world makes comparisons difficult. Despite this, many of our organic and purchased products continue to be some of the best sellers on Amazon. We continue to have very strong brands and product portfolios. We’ll leave the current pressure on growth and profitability is acutely related to global supply chain and inflationary pressures. We continue to take action on what we believe is the wisest course for us to navigate through this difficult environment and will help direct us back towards profitability. To explain our performance and for the context, assuming 2020 normal contribution margin rates, which we still believe can be achieved in the future. And with our typical and previously disclosed adjustments, the company believes its Q4 2021 adjusted EBITDA would have been similar to prior years. Further, as we continue to navigate through this environment, we have taken the opportunity to right-size and secure our balance sheet with our new credit facility and recent equity raise, providing us the strength as we continue to navigate through these difficult macroeconomic conditions. We continue to be very confident and proud of the business we have built. Our products, both organic and acquired, our technology, our logistics network, and most importantly, our dedicated and hardworking people across the globe. Together we believe Aterian will overcome these challenges and continue to be a leader in our industry. With that, I’ll turn it back to the operator to open the call up for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Brian Nagel with Oppenheimer. Your line is open. Please go ahead.
Brian Nagel: Hi, good afternoon.
Yaniv Sarig: Good afternoon.
Brian Nagel: So a couple of questions. First off, I appreciate all the comments around the supply chain. So I guess that one question is you know what has to happen? Where does the supply chain – disruptions have to get to maybe where shipping costs, shipping rates have to get to in order for Aterian to resume a more offensive stance with regard to you know product acquisition or product introductions or even acquisitions? That’s my first question.
Yaniv Sarig: Yeah. Thanks, Brian. You know it’s a great question. And I think that obviously the most simplest answer is, whether we’re back in 2019, which, if you look at the prices of shipping rates from – for containers back then, right, it was a more normalized kind of like you know cost that you could trace back linearly to the previous year, whereas you know the exponential increase in cost that we saw you know as the supply chain crisis kind of unfolded, especially in 2021 right, is very challenging, right. So the second part to that, right, I mean that’s the simplest answer, if it goes back to that, obviously, amazing, right. The he question is, when is that happening? And how long will it take? And maybe the floor is a little higher, right. But when all that is said and done, I think that it will set us a new floor that is the same for everyone for all our competitors and for you know the entire economy in a way. And at that point in time, I think it should help us, right. I believe that the numbers will be closer to the 2019. Again, the really big question is, when does that happen, right.
Brian Nagel: Okay, got it. That’s you know that I guess as well as that is. And then just me on make sure I understand the mechanics. So have you not you know have really not lifted your selling prices? Because you just quoted a hit on gross margins here. So I guess to what extent have you lifted prices to offset some of these shipping costs? And I guess that second part of that would be you know was that a – is that a lever you could pull? I mean, could you start to more strategically lift prices?
Yaniv Sarig: So yeah, so you know I don’t have a – I don’t want to – across the Board, a number I tell you that, say on our top 50 SKUs, which you know I looked at recently, I’d say that you know approximately we lifted the prices by around 20%, I’d say in average, which remember, would that increase in price, we’re still not where we need to be at a contribution, from our contribution margin level. But you know with and what we’re seeing, if we go well beyond that you know we might start losing market share, right. That’s what we talk about when we say protecting market share, it’s finding that balancing act between a price that gives us enough margin to be profitable at the product level or the unit economic level, but also doesn’t cause us to be in a situation where we have to lose – losing market share and have an impact in the long-term, right. And so the other aspect of it is you know consumers I think are seeing those price increases everywhere from their coffee to their gas stations to you know everywhere. So that creates another obviously, challenge when it comes to generating a growth year-on-year, right. But again you know, I don’t have an exact number across the Board. But you know I’d say that around 20% increase is still not getting us to the contribution margin that we need to be in a normalized environment. So that gives you a sense I believe, right.
Brian Nagel: That’s helpful. I appreciate, Yaniv. Thank you.
Yaniv Sarig: Thank you, Brian.
Operator: Thank you. And our next question comes from line of Matt Koranda with ROTH Capital. Your line is open. Please go ahead.
Matt Koranda: Hey, guys. Thank you. Just maybe to start out, I understand and appreciate you know difficult environment to give an outlook. But wanted to maybe see if you could break out for the full year and ‘21, Artie, what was organic versus acquired versus wholesale revenue for the full year in ‘21? And then just maybe if you guys could speak to, should we expect organic growth I guess to continue into ‘22, just qualitatively would be helpful to get puts and takes around that so we can start to kind of build a realistic model for ‘22.
Yaniv Sarig: Let me speak for a second to ‘22 and I’ll pass it on to Artie to answer your first question. But yeah the answer is you know, yes, we want to drive growth in 2022, both organically and potentially, right you know obviously the world is a little chaotic right now. So we’re being a little patient, but potentially also to M&A, right. So, we’re not you know, we are a growth company, we’re also a growth company doesn’t want to grow with unit economics that are negative, right. So, we are working very hard across all dimensions of our business to achieve that. And again, the macro level will probably influence what that growth looks like. But just to be very clear you know it is our at least goal, right to do that. In terms of – part of it is also launching new products, which as we talked about earlier is also on pause right now, because it’s very important for us to have predictability when it comes to a product we launched from the moment we plan that to the moment it arrived, if we plan some product launch at a certain price point with a certain P&L, by the time it arrives, that P&L has changed by 20%, 30% you know, the launch will not be successful. So, those are the factors. But we have a lot of initiatives internally to drive growth and we are intending to drive the growth this year. Sorry, Artie I’ll pass it on to you maybe to answer the –
Arturo Rodriguez: Yeah. Thanks. You know and Matt you’re looking for organic for the year? That was the number you’re looking for? It’s roughly $120 million.
Matt Koranda: Correct, yeah.
Arturo Rodriguez: Yep and M&A was roughly about that. I think when you look at last year, keep in mind, that you know we had a bunch of wholesale in some M&A there. So I think the organic number was probably closer like $145 million. So that’s helpful?
Matt Koranda: Okay, yeah very helpful. Appreciate it from both you guys. And then just in terms of the pricing commentary that you made, Yaniv. I’m curious if we could dig in just a little bit more there, you said if I heard correctly, just maybe on average 20% across the top 50 SKUs. And I’m just curious why you see 20% as the ceiling? What is the behavior that you kind of see when you take price across those SKUs? Is it specifically that you start to lose market share as you kind of price above that level? Or is it just that volume declines, because demand kind of wanes there? I mean just maybe if you could unpack that a little bit more, so we can understand kind of what happens as you take price on this top SKUs?
Yaniv Sarig: Sure, yeah. Good – great question, Matt. And you know that 20% is an average, right. Because our - because we’re so category-agnostic and we sell things from you know a small bottle of essential oils to a commercial ice maker, the profile of our product is all over the place. But that averages is I think quite close. The answer is that you know first of all, the two are related, right. You know as you know, right in marketplaces, and in e-commerce in general, market share is a function of sales, the more you sell you know the more you will get more visibility, the more you have the potential to take on market share, the moment your sales goes down you know the advertising engine that would promote your product will take a look at your last and look more at another product, right. So there’s kind of a little bit of a, you know circular dependency almost between capturing market share and sales, that is not always as obvious now. Yes, the answer is that you know as we up the price, right, obviously, we’re pressuring the amount of sales, but also opening the door for other products to come in and take market share from us. Now, you might ask me like how is it – how come your competitors can lower their price and maybe take market share if you open the door to it? The answer is that you know a lot of other competitors not necessarily do that out of strength, they do that sometimes even out of hopelessness almost right. If you – everyone in the industry is suffering from the same problem. And so you have a lot of product that sometimes will come in and just if you throw the towel or lower the price and liquidate a significant amount of inventory, which might never come back, right. But during that time you know those products might get more visibility, they might show up higher on search, they might appear more appealing to customers because of their liquidation price tag. So it’s a chaotic environment a little bit, right, it’s not kind of the normal type of competition you expect to see in an e-commerce marketplace, where everyone’s trying to get sustainable revenue and profits. It’s a little bit more of like some you know smaller competitors that might try to take advantage of the situation, maybe take a risk and try to capture market share, because they’re seeing that you’re trying to protect your margin versus other competitors who are actually distressed you know just trying to liquidate their inventory. But by doing so they’re taking revenue from you, because they have very appealing price, the customer despite the fact that the product might not be as good, right. So that’s the kind of challenges that are part of this. And really – it’s really about you know having the analytics that we have, I think a real time visibility in the performance of the business is critical to be able to make those decisions, whether automatically is semi-automated or totally manually, right, you have to have the type of real time analytics that we built to be able to even manage that. And I think that’s the kind of one of the strengths of our business.
Matt Koranda: Okay, that’s helpful, Yaniv. Thank you. And then just last one for me, if I could sneak one in on the margin front. You guys mentioned a near-term increase in shipping costs potentially. When would you expect that to filter through to the P&L? And then just how much margin pressure should we be kind of factor into the first quarter, second quarter of this year? It almost sounds like maybe you know relative to the fourth quarter, things remain somewhat flattish. But just any directional commentary you can provide on that to help us that would be much appreciated. Thanks.
Yaniv Sarig: You know, Matt I’d say we are – we became followers of some of your colleagues on the cover shipping company, and just that you know I’ve been avidly reading content online across you know publishers and analysts on shipping. And you know the comment we made is obviously related to what happened in Ukraine and obviously gas going up is not going to help. But what’s interesting is that, there are you know there’s really kind of like two opinions out there. And you know one is the obvious one that with the cost of shipping going up and all these other disruptions to supply chain, we might see you know the cost of shipping going up, but there’s actually you know some analysts who think that there’s the potential even an improvement, right. So we really are being cautious here and not necessarily saying that we know 100% that it’s going to get worse before it’s going to get better. I would bet that it’s likely. How much is a great question. And I think that you know honestly I don’t think that anyone out there, including the shipping companies can comprehend the ripple effect of what’s happening in Europe, the effect that it has on so many businesses and commodities price and oil price. So, is it going to get much worse than it’s been in the past? I hope not. I think it might just take longer for it to come down. I think that’s kind of like the – probably more likely scenario. But the world we live in, I think you know everything’s possible at this point. So very hard to tell. Sorry, but don’t have any more clear answer there. But I don’t think that anyone really does. So.
Matt Koranda: That seems fair. I’ll leave it there, guys. Thank you.
Yaniv Sarig: Thank you.
Operator: Thank you. And our next question comes from the line of Brian Kinstlinger with Alliance Global Partners. Your line is open. Please go ahead.
Brian Kinstlinger: Great, thanks so much. I’m curious you mentioned some benefits by several thousand dollars per container through your new partnerships with Amazon and others. When is the first quarter you expect that P&L to get the full benefit? And how much of your containers are run through that program? Do you expect maybe first half of the year of your total?
Yaniv Sarig: Hey, Brian, good to hear from you. So you know the benefits of the shipping rates are always you know, call it, like a quarter later, right in average and that doesn’t even include some of the delays in shipping. And it’s not just about the cost. It’s also how long it takes to clear the port of origin, the port of arrival and many other obstacles in between including the linking lines on both sides. But you know in a way we’re already seeing the benefit of it, right. But it’s not like you know we’re back in 2019, where you know we really be in great shape if we were, I did say that you know it’s more like it could have been absolutely horrible without it, right. I can’t even imagine where our business would be if we weren’t able to navigate those – that situation and secure our preferred rates. But again, it’s still not anywhere where we can necessarily you know high-five each other and say we got you know well we’re back to where we were before, right. I think there’s more patience that need to happen before we get there. But relatively speaking to what would have happened, if we didn’t secure this, I think we’re overall in good shape if that makes sense.
Brian Kinstlinger: Yeah. And then can you talk about how you guys are thinking about expenses? Are you thinking about cutting costs to preserve capital and weather the storm? Does the leasing capital raise lead you to hold the line in expenses in the near-term? Are you making investments just maybe some sense on some of the fixed overhead?
Yaniv Sarig: Artie, I’ll let you take it on.
Arturo Rodriguez: Yeah. And I think you hit us with two. So listen with the 20 – with the $27.5 million equity raise in our credit facility, we think we’re well capitalized, where we secured the balance sheet, it’s going to allow us to weather the storm. That said, we’re constantly looking at supply chain, we’re constantly looking at our warehouse partners, our last mile partners to sort of optimize and make sure we’re driving you know as much – a much you know best margin as possible considering the circumstances. From a fixed cost perspective, we’re always looking, right now at the same time you know we still have a lot of anticipated growth long-term, like we’ve always talked about, we think we’re going to be – once we weather this so we’re not necessarily looking to cut costs. We’re just always going to be optimizing as we can from automation and other investments and systems.
Brian Kinstlinger: Okay, thank you.
Operator: Thank you. And our next question comes from the line of Thomas Forte with D.A. Davidson. Your line is open. Please go ahead.
Thomas Forte: Great. So three sets of questions, two companies specific and one industry. So I’ll go one side at a time. So on the first one, so, Yaniv if you’re pitching this business today, March 8th, 2022, I want to know what realistic expectations for long-term success? So if e-commerce industry grows at a 15% CAGR on a very long-term basis, how do you expect the fair versus the 15%? And then how should we think about your long-term contribution margin?
Yaniv Sarig: Thanks, Tom, and good to hear from you. So obviously you know we’ve had a challenging you know, six months, eight months let’s say with everything that’s happening in the world. But as I mentioned also in my remarks before, I – you know couldn’t be more excited about the future. I think that you know everything we’re doing is the future of consumer product companies online. I think that you know, like us does now a lot of other groups who are seeing the potential. And all of them, including us, are just kind of focusing on weathering the storm. And really as I mentioned those earlier, right, as the dust settles and as the storm passes by, those who are sitting with a strong balance sheet and strong operational capabilities, I think will have enormous opportunity to scale, right. Yes, e-commerce is growing. You know in the US, at the Calgary we mentioned, but we definitely have over time the ambition to be a global company. And I don’t think we’re even close to scratching the surface of our ambitions. I think that we built a very strong foundation, from a team perspective, from a cultural perspective, from a systems and just expertise that we’ve built in and there’s resiliency too, right. I think a lot of companies at the end of the day, don’t make it through, because the moment they have one crisis you know things can fall apart, I have to say that you know for us, we’ve navigated so many challenges recently that it’s part of what gives me enormous confidence and our ability to really crush that when things align better, right. So, we want to go back to hyper growth. Tom you know me well enough, you know that my ambitions are huge, and that I am – I can’t wait to go back and you know, put a metal – pedal to the metal here that to scale this company. But at the same time, I think there is an element of patience that needs to happen here, there is an element of protecting what we have, allowing the storms to pass by. And then again, I think the excitement around what we do and around e-commerce should choose some back and with that, I think we’ll have enormous opportunities to scale. So, that’s how I think of it.
Thomas Forte: Great. And then second one was, I think you talked about resuming M&A. So today, March 2022, what gives you confidence in your ability to earn an appropriate return on capital from resuming M&A, given your current cost of capital?
Yaniv Sarig: Yeah. You know the resuming M&A is going to happen, right. The opportunity is continues to be incredible. And as I mentioned, again, in my comments, we’re not the only one seeing it, there’s a lot of capital that entered this arena, Smart Capital that – that’s going after it, and then we’re the only one on the public side so far to my knowledge that – that’s pursuing this. You know in the immediate, I think – before the war in Ukraine, I think that one of the things that we have pointed out to say that I feel confident about our reigniting M&A and there’s, again, a lot of opportunities out there was the fact that because we’re category-agnostic you know we can start looking at targets that are in categories that are not affected by the international supply chain, especially you know companies that are in the Food & Beverage and Other Consumables that are – manufactured in the US or the Americas, right. With everything that’s happening in the Ukraine you know we’re going to, again, be patient, right and do the right thing, because obviously now we’re talking about other you know commodities that are affected like wheat and other aspects of the economy that could affect even these categories, right. So, I think patience and tracking closely what’s going on the macro level is critical. But again, the opportunity is there. And we just need to be again, very clearly focused on making sure that we know when the timing is right, Tom.
Thomas Forte: All right. So thank you for that. Last one particularly you’re the one who talked about the pendulum. So the idea was and this is industry-wide question that at the beginning of the pandemic, the pendulum swung heavy toward e-commerce. Everyone was essentially in a shelter in place. And then as things started to ease, the pendulum swung back to physical stores. Can you give your current thoughts on where the pendulum lies today? There have been other e-commerce players who’ve reported their December quarter, and have talked you know their comments suggest that it’s still leaning toward physical stores. Wayfair being a good example.
Yaniv Sarig: Yeah, thanks, Tom. I definitely saw the Wayfair results in the comments that were made there. Yeah I think the pendulum has not yet stabilized itself, I still think – it’s still going to try to find the middle ground. I think the middle ground is, growth of e-commerce will continue to linearly like the way it used to, before the pandemic. I think we’ve seen this almost sinus wave as you said or a pendulum ride with this incredible uptick in e-commerce and strong downtick as consumers were almost kind of excited to go back to stores. But you know my best estimation right now as you know if you keep tracing a straight line on the you know path growth of e-commerce versus retail, you’ll see a very you know a normalized kind of growth there. And as I mentioned earlier, right I think that – that’s exciting, because there’s a massive amount of business out there we’re even scratching the surface of the opportunity. But beyond that, I think in other countries you might see e-commerce going faster just because of you know I mean, for example in China, right I think e-commerce is growing much faster because of access to stores that is not as you know clear as in the US, right. There’s a lot more people who have really no other choice than to use e-commerce to access certain things. And so around the world, I think that in countries like that you’ll see that growth happening faster. But there’s no doubt in my mind that, over time e-commerce will, again, continue to become a very big part of retail. And it’s very exciting for us obviously to see that happening. So, hopefully that makes sense.
Thomas Forte: Thank you, Yaniv –
Yaniv Sarig: Yep –
Thomas Forte: Thank you.
Yaniv Sarig: Thank you.
Operator: Thank you. And our next question comes from line of Marvin Fong with BTIG. Your line is open. Please go ahead.
Marvin Fong: Great. Thanks, everyone for taking my questions. Two questions, if I may. Just the first one, you know I appreciate that a lot of discussion on the shipping. And obviously you guys are doing a lot on that front. Are there any other commodity exposures that we should be thinking about? I know you have a pretty broad products that you know perhaps steel or anything like that, I know that you also said you know you’ve secured a lot of your you know, spring and summer inventory, but just in the long run, what sort of material and commodity exposure do you guys have, if anything that we should be thinking about? And then I have a follow-up.
Yaniv Sarig: Hey, Marvin, good to hear from you. Yeah, you know I think our manufacturers obviously are reaching out and pointing out that commodities you know prices going up, I think you know copper is probably one of the ones that you want to think about, right. A lot of the – you know a lot of the products that we sell that have electronics in them, right are affected by that. But across the Board, even plastic, right, have been in certain kind of pressure on it. So you know that definitely does trickle into the pressure that we’re seeing you know it comes from the manufacturers, they bubble it up, I think one of the things that we’re doing is being very careful to track those comments of manufacturers and their reasons that they, you know, they justify certain increases in cost of goods. And our goal is obviously to when – hopefully things that otherwise we obviously go back to them and request that – those get turned back – turned out back down, right. So yeah I mean it’s, again, it’s across the Board, right you got commodities, you got shipping internationally you know you still have the tariffs, of course, that started in 2019. And then you have last mile shipping which also is going up, given the price of gas going up. So you know in the P&L of the products across the Board there – there’s that pressure on the cost upwards. And again, we’re keeping strong track of it and looking to renegotiate those down when the environment allows us to, right.
Marvin Fong: Got you. Perfect. And then just to revisit the M&A, you know I totally appreciate you said you’d be very patient. Just expand a little more on that. I mean, what are you seeing now? Obviously we’re seeing you know some of the air coming out of valuations in the public markets? Are you seeing something similar in the aggregator space? Or is there just so much capital flowing around that you know multiples are still you know up from where they were a couple of years ago perhaps? And just maybe as a second part of that question. I mean, do you think we could you know, over time or is your discipline to kind of you know revisit and acquire things that 3 times to 4 times EBITDA versus maybe a couple of turns higher that we saw kind of towards the end of last year?
Yaniv Sarig: Yeah, thank you. It’s a great question. Again you know from what we know about our competitors in the private space, they’re all dealing with the same challenges. And you know none of them is immune to it, right. I think that again with our experience and better infrastructure, I think we’ll navigate it better. You know my hope is that a lot of our competitors do really well, I think it would be good for the industry and it will create more comps for us and just solidify the model, right. I definitely think that some of them might not be able to get through this. You know just like we were sitting in front of a lot of debt that was designed to kind of like you know live with the cash flows of the businesses as once the cash flows of the businesses have been contracted because of the temporary pressure on supply chain, right, that that became a problem and it’s true for them as well. So, I do think that you know although I’d say that the multiples on the acquisitions are still holding on, I do foresee that in the next few months, we’ll see a little bit of downward pressure on those multiples because of, again, some of these players that are in a situation where they can’t, you know, can’t move forward and might even have to divest the assets, right, which is part of the reason to be patient is that you know there’s a possibility that although we believe we navigated the challenges really, again, not as well as we could in a way, right, some might not be able to do it at all. And so there might be some pretty great opportunities there. I think at the end of the day, my – again it’s hard to predict exactly that the world is obviously complex today, but I think that we’ll see – my opinion, we’ll see those valuations of the businesses that are getting “aggregated” right, I believe that will stabilize around 5 times to 6 times. And with potentially, again, especially strong you know assets that could go even as high as 6 times, 7 times, right. But that’s why it doesn’t make necessary to run out and do those deals that the next few months are going to be really important to understand where the industry is going, where the valuations are going to land and you know who’s going to be standing tall and driving this forward versus who’s not, right. So, that’s why I think the patience is important.
Marvin Fong: That’s great. Thanks so much, Yaniv.
Yaniv Sarig: Thank you, Marvin.
Operator: Thank you. And I’m showing no further questions. And I’d like to turn the conference back over to Mr. Grozovsky for any further remarks.
Ilya Grozovsky: Thanks, Michelle. As part of our Shareholder Perks program, which as a reminder, investors can sign up for at aterian.io/perk. Participants have the option to ask management questions on our earnings call. I wanted to thank all the Shareholder Perks’ participants for their loyalty and their participation. I’ve picked a few relevant questions that they have asked. Can you provide an update for the effort to stop the naked shorting of Aterian?
Yaniv Sarig: All right, Yaniv here. So thank you, Ilya. So we’re working really hard to make sure that all the trading and our shares in compliance and you know with all the rules and laws out there, the process takes a long time, we’re definitely active and investing in that. But you know, it’s going to take time to see that through. And when we have further results, we’ll report on them.
Ilya Grozovsky: Okay, thank you. Another question we had had was, please update the – progress on platforms other than Amazon?
Yaniv Sarig: Yeah so I think you know one of the things that we really wanted to push forward on last year was – is international. You know, again, the supply chain crisis has slowed that down, it’s still moving forward. The big effort we’re doing now is on Walmart, I think we’ve made a lot of progress there, still a lot to do. You know Walmart is a platform that’s investing heavily in their e-commerce, but they’re still behind Amazon. And the good news is that, they seem to be making faster progress recently which allows us to obviously you know leverage the tools and the analytics that they are providing us and integrate them into AIMEE. So we’re cautiously optimistic about that becoming more valuable. The other aspect is you know we want to invest more in growth organically through D2C. So everything you know our brands have obviously, Shopify stores and we’re starting to slowly uptick the investment on scaling that correctly. Those I would say are the two kind of like biggest efforts right now, given that, again, with the supply chain, international is going to take a little longer than the shipping to Europe for example is actually even worse than to the US, because carriers prefer the US line so they make it even more expensive, and we don’t want to show up in Europe with products that are overpriced compared to the competition. So, there again, I think a little bit more patience, but again, Walmart is a big focus for us.
Ilya Grozovsky: Great, thank you, Yaniv and thank you for participating on today’s call. In terms of the upcoming calendar, Aterian management will be participating in the 5th Annual D.A. Davidson – Consumer Growth Conference on March 10th. The fireside chat will be at 1:15 PM and will be webcast. And the 34th Annual ROTH Conference on March 13th through 15th. We look forward to speaking with you on future calls. This ends our call. You may now disconnect.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone have a great day.